Operator: Welcome everyone. I'm William Crosland, President and CEO of Thermal Energy International, and welcome to our fiscal 2024, Third Quarter and first ever earnings call. If you're joining us online, you should be able to see the slides now on your screen. So before we go any further, I need to point out that today's earnings call may contain forward-looking statements within the meaning of applicable securities laws, and forward-looking statements are, as always, subject to risks and uncertainties and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward looking statements, and actual results may differ materially from those expressed or implied in such statements. For additional information, please refer to our financial statements and our management's discussion analysis for this quarter and other filings with the Canadian Securities Regulators. As this is our first earnings call ever and we're excited to be doing it, we thought it would be helpful to review the agenda for the call, which again, you should be up to see on your screen. Now, rather than go over our quarterly financial results line by line in detail, we will simply review some highlights from the quarter and then we'll focus a bit more on results over a trailing 12 month basis. A trailing twelve month basis is how we generally look at the business internally, because if you've been following our story for a while, you realize that results for any given quarter can vary depending on the timing of order and the schedule of some of the larger projects. After that, we'll take a quick look at our balance sheet and then move on to some key performance indicators that demonstrate that momentum in our business and our outlook. And after my prepared remarks, we'll be happy to have a question and answer session at which time qualified equity research analysts joining us on MS teams will be able to ask questions. So to get started, we reported our Q3 results earlier this morning. Our news release, financial statements and MD&A and a will be posted to our website and have been filed on SEDAR. Highlights for the quarter include revenue increasing 8% to $6.1 million, driven by continued growth in turnkey heat recovery projects. We had EBITDA of 322,000 and net income of 44,000 for the quarter. During the quarter and over the last couple of quarters, actually, we've made a number of significant investments in the future growth of our business. These investments will have a temporary impact on profitability and did lower our EBITDA and net income for the quarter, and I'll discuss these investments a bit in more detail in a few minutes. We also received orders totaling $8.3 million during the quarter and we'll also talk about our order intake a bit later in the call. Now, when we talk about investing in growth, let's take a little bit interest. Look at that, see what that means. We've made a number of investments in growing our business. On the people side, we've added nine new people in the first nine months of fiscal 2024. That includes six people in sales and marketing, two in engineering and production, and one finance person. And the finance person position is directly related to our new enterprise resource planning and accounting system that we're implementing. On the technology side, we're currently investing heavily in what we like to call architecture for growth. First, we're developing our carbon reduction and efficiency scoping tool. We like to call that crest. This is a custom developed mobile app which will allow our sales and engineering teams to quickly and efficiently identify potential energy savings and carbon reducing opportunities while on site with a customer, sometimes during the very first visit. This is especially useful given the increasing number of solutions we can provide our customers. And secondly, we're also investing in new global accounting program and ERP software so that we can more efficiently scale the business going forward. Finally, on the plant and premises side, during the quarter we moved our UK operations to accommodate increased demand for our products, in particular our GEM products. So we had additional rent, moving costs, renovation expenses, all related to the move in the quarter. Importantly, our new UK production facility is more than 2.5 times the size of our old space and it allows us to more than double throughput capacity compared to our former premises. So that's very exciting for the team. Revenue on a trailing 12 month basis for the quarter. So taking a look at how our business has performed over the last 12 months ending February 2029 February 29, 2024, we had revenue of $26.6 million. This is our highest 12 month revenue on record. It's about 26% higher than our annual revenue for fiscal 2023 and it's an increase of 75% over the past two years. Over these past two years, we've had very strong growth in both the custom equipment and the turnkey project projects side of our business, with custom equipment being up about 93% over two years and turnkey projects about 60% during that time. Our EBITDA for the 12 months ending February 29 was $2.7 million, which is a 240% increase from a year ago and is up $3.7 million over the past two years. I'll emphasize again here that our expenses were significantly higher during the most recent trailing 12 months as we invested and future growth. The investments in gross that we highlighted back on slide five totaled about $1.5 million in the first nine months of fiscal 2024. And in addition to these investments in the growth of the business, we also had some realized and unrealized foreign exchange adjustments that also increased expenses by about $600,000 compared to last year. So despite about $1.1 million in growth related expenditures and a $600,000 impact from FX foreign exchange adjustments, our trailing 12 month EBITDA was still $2.7 million. Net income was, of course also impacted by these same factors, investment in growth and foreign exchange adjustments. But despite this, our trailing 12 month net income was still 1.7 million compared to a $400,000 - $400,000 loss from for the prior 12 month months, and was up about $3.5 million over the past two years. I'll point out that Q3 of fiscal 2024 was our fifth straight quarter of positive EBITDA and net income. Turning quickly to our balance sheet, at the end of the quarter we had cash and cash equivalents of about $7.5 million and working capital of 3.4 million. For reference, at the end of May 2023, we had cash and cash equivalents totaling $3 million in working capital of about $3 million. While we don't provide guidance, these next few slides will help demonstrate some strong momentum that we're seeing in the business. This slide shows our order intake on a trailing 12 month basis as at the end of the third quarter. As you can see, for the last 12 months ended February 2024, we received $29.6 million in orders, compared to 25.7 million a year earlier and $13.7 million at the end of Q3 2022. The $29.6 million over the 12 months is an all time high for us and represents a two year increase, as you can see on the slide of about 116%, we received $8.3 million in the third quarter alone. A few of the more notable orders received would include a $3.7 million turnkey heat recovery project representing a repeat business from a multinational branded private label food and drink producer, a $540,000 order from a Fortune 500 food processing and commodity trading company for eight heat sponge boiler economizers. That's the largest single order in boiler room's [ph] history and a $1 million order from a privately owned meat processing plant in Europe. And this was our first order for our new Hybrid Flu Ace, which is quite exciting. As could be expected, our order intake has resulted in a strong increase in our order backlog as well. At the end of Q3, our order backlog stood at $20.4 million, up from $16.2 million a year earlier and up 264% over the past two years. The $20.4 million at the end of Q3 was also our highest quarter end backlog ever. As a reminder, order backlog represents the amount of purchase orders that have been received but not yet reflected in our published financial statements. In addition to order intake and order backlog activity pertaining to project development agreements, or we call them PDA's, is an important indicator of momentum in the business and a key metric in assessing the strength of our business development pipeline. With a PDA, a customer has agreed to pay us to fully develop the project. This is usually based on a preliminary project analysis and project value statement that we've already provided to the customer. So they've seen it, they like it, they want us to develop it further and hopefully eventually implement the project. At the end of the quarter, we had 31 projects in paid development with customers. Again, this is a record high for the company and this is despite a record order intake for turnkey projects over the last 12 months. At the end of Q3 of fiscal 2022, we had 18 projects in development. So you can really see the growth in momentum since there a two year increase of 72%. And although there's no guarantee that a signed PDA will result in a final turnkey project order, the increase in PDA's demonstrates the growing demand for our carbon emission reduction and energy efficiency solutions from our Fortune 500 and other multinational customers. Looking ahead, we plan to continue to focus on our track record of profitable growth, both organically and through accretive acquisitions. Anyone following our stories knows that we do a substantial amount of repeat business with large multinational companies, especially our top 10 corporate accounts. These top 10 corporate accounts alone, we have significant opportunities ahead of us. In fact, we believe we have only about a 5% penetration rate with these customers so far, who combined have about 1000 sites worldwide. More and more large companies have publicly stated their aggressive carbon emission reduction targets and about 90% of industrial energy uses thermal energy. This bodes well for us because improving thermal energy efficiency is the fastest, cheapest and easiest way for our customers to reduce their carbon emissions and meet their carbon reduction goals. And according to the International Energy Agency, the global investment in energy efficiency needs to triple by 2030 if we hope to achieve our net zero by 2050 goals. So, in summary, we've reestablished our track record of growth, achieving record levels of revenue and profitability. Since the end of our last fiscal year in May 2023, we have invested more than a million dollars in the future growth of the company. And we have strong momentum in our order, intake, order, backlog, and project development agreements, all at record levels. So this concludes our prepared remarks. We'd now like to open the call for questions and I'm going to turn it over to Trevor Heisler at NBC Capital Market Advisors, who will moderate our Q&A session. Please go ahead, Trevor.
A - Trevor Heisler: Thank you, Bill. [Operator Instructions] So Bill, it looks like one of the analysts that was going to join the call has not been able to. He did provide us with a couple of questions here. I'm going to read through them for you. Your first question. Are there any geographical sales trends you would like to call out?
William Crosland: Yes, yes and no. I mean, for a couple of years now, we have expecting European growth to exceed North American growth. And I think we are starting to see that. Certainly last year the European revenue was higher than North American revenue. But this year North America is coming back as well. So having said that, we do expect over time to see the revenue in Europe exceed levels in North America. That's primarily driven by fuel prices and energy prices. They're much higher in Europe. And Europe tends to have more astringent carbon reduction goals as well. So I think we'll continue to see further growth in Europe. And a lot of the team that we've added over the last year, the nine people we referred to, a lot of those have been in Europe at least.
Trevor Heisler: Can you give us a split on the turnkey versus custom equipment revenues during the quarter? Is revenue from turnkey projects growing as a percentage of revenue?
William Crosland: It is growing. So for this quarter, turnkey and custom equipment were about 50,50. And that's a switch from last quarter and last year when it was about one third turnkey and two thirds custom. If you recall, and again, if you've been following the story for a while, pre-pandemic, we were two thirds turnkey and one third custom equipment. But the pandemic really had a significant impact on our turnkey business. The custom equipment business to continued to grow throughout the pandemic. And now turnkey is growing as well. So yeah, turnkey is growing on an absolute basis. And as a percent of revenue, turnkey revenue is about double what it was last year on an LTM basis or a trailing 12 month basis. It's not quite at pre pandemic levels, but turnkey order intake is at record level. So turnkey order intake is already exceedingly the levels, the record levels that we had pre-pandemic. So, yes, in short, the percent of revenue that's represented by turnkey is increasing and turnkey is growing very nicely.
Trevor Heisler: Can you talk about the M&A environment? What kind of opportunities are you looking for and how competitive is the bidding for those targets?
William Crosland: Yeah, it's always competitive. Anytime you're an M&A, it's, you know, but we're looking for companies that fit comfortably with us, as we have done in the past, ones that make strategic sense for both us and perhaps for the shareholders of the target company as well. Historically, we were always very interested in new technologies, and so we've grown from one technology, the Flu Ice technology, when the company was founded, to currently about 10 technologies, and that new technologies and additional technologies will still be part of our focus. But I want to emphasize, we're not looking for pre revenue, we're not looking for early stage, we're always looking for proven technologies with revenue. But I think maybe what we would be even more or slightly more interested now would be distribution. We've got a good suite of technologies, and if there was a way that we could leverage our distribution, perhaps acquire a company that had exposure and penetration in either a vertical market or a geographical market where we don't have a lot of presence, that would make a, make a good acquisition for us as well. So we continue to look, and there's lots of companies out there that are sort of in the sector, and so we will continue to look and hopefully we'll be able to find something to add to the business.
Trevor Heisler: What kind of multiples have you paid in the past for acquisitions? And do you have a target range of sorts of [ph]
William Crosland: Don't have a target range. I mean, the most important thing is we want an acquisition to be accretive to our shareholders. And so that's the most common. I think historically it's been about one times revenue that we paid, but we don't really have a target because it's very specific on the opportunity.
Trevor Heisler: And the last question that's provided to us was how much of the backlog is scheduled for completion over the next 12 months?
William Crosland: I would say most of it. I mean, almost all of it. Generally, when we get orders, we expect to revenue them in the next 12 months. That doesn't always happen with some of the large project, big turnkey project orders. Sometimes it will take a little bit longer than 12 months to do the final 5% or 10%, but generally speaking, 100% or very close to it of our backlog is usually revenue in the next 12 months.
Trevor Heisler: Okay, Bill, that's all we have for questions at this time. Please go ahead.
William Crosland: Okay, well, I just wanted to thank everybody for their time and attention. We were excited to do this and we look forward to seeing you next quarter. So you can always get more information at www.thermalenergy.comn or reach out to us via the investors email. Thanks very much everybody and have a great day.